Operator: Good morning, ladies and gentlemen, and thank you for standing by. My name is Abby, and I will be your conference operator today. At this time, I would like to welcome everyone to the FuelCell Energy Fourth Quarter and Fiscal Year-End 2024 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. And I would now like to turn the conference over to Tom Gelston. You may begin.
Tom Gelston: Good morning, everyone, and thank you for joining us on the call today. As a reminder, this call is being recorded. This morning, FuelCell Energy released our financial results for the fourth quarter and fiscal year 2024, and our earnings press release is available in the Investors section of our website at www.fuelcellenergy.com. Consistent with our practice, in addition to this call and our earnings release, we have posted a slide presentation on our website. This webcast is being recorded and will be available for replay on our website approximately two hours after we conclude the call. Before we begin, please note that some of the information that you will hear or will be provided with today consists of forward-looking statements within the meaning of the Securities Exchange Act of 1934. Such statements express our expectations, beliefs and intentions regarding the future and include, without limitation, statements with respect to our anticipated financial results, our plans and expectations regarding the continuing development, commercialization and financing of our fuel cell technology, and our business plans and strategies. Our actual future results could differ materially from those described in or implied by such forward-looking statements because of a number of risk factors and uncertainties. More information regarding such risks and uncertainties is available in the safe harbor statement in the slide presentation and in our filings with the Securities and Exchange Commission, particularly the Risk Factors section of the most recently filed annual report on Form 10-K and any subsequently filed quarterly reports on Form 10-Q. During the course of this call, we will be discussing certain non-GAAP financial measures, and we will refer you to our website and to our earnings press release in the appendix of the slide presentation for a reconciliation of those measures to GAAP financial measures. Our earnings press release and a copy of today's webcast presentation are available on our website under Investors. For our call today, I'm joined by Jason Few, FuelCell Energy's President and Chief Executive Officer, and Mike Bishop, our Executive Vice President, Chief Financial Officer and Treasurer. Following our prepared remarks, we will be available to take your questions and be joined by other members of the leadership team. I'd now like to hand the call over to Jason for opening remarks. Jason?
Jason Few: Thank you, Tom, and good morning, everyone. Thank you for joining us on our call today. In the fourth fiscal quarter and the week since the close of the quarter, we've achieved solid performance and taken proactive steps that we believe better position our business for the future. Fourth quarter revenue more than doubled year-over-year, mainly driven by module sales to Gyeonggi Green Energy, or GGE, in South Korea. And while full fiscal year 2024 revenue was down compared to the prior year, we expect to deliver meaningful revenue growth in fiscal year 2025 and we will continue to exercise cost discipline in deploying capital for growth opportunities. As I do every quarter, I would like to start by underscoring our business and purpose. For those of you who are new to our story as well as for those who know us well, our purpose is to enable a world empowered by clean energy. So, what does this mean? It means leveraging our proprietary fuel cell technology platform, our considerable intellectual property portfolio, including hundreds of patents, our geographic footprint and our talented team to provide energy solutions for our customers. Next, on Slide 4, I'd like to provide an overview of our key messages for the quarter. First, subsequent to the end of the fourth fiscal quarter, FuelCell announced a global restructuring plan that aims to realign our team and capital to focus on our core technologies and target sales where we see the strongest demand in the near term; data centers, distributed power generation, grid resiliency and carbon recovery for utilization. We believe the actions we've taken will better position us from the perspective of focused product solutions and cost, helping us to start fiscal year 2025 building on our fourth quarter 2024 momentum. I will speak in more detail about the restructuring plan on the next slide. Second, we continued to make progress on the operations front. In the quarter, we delivered and installed six repowering fuel cell modules for our customer GGE, and we also made significant advancements on our biogas project with Ameresco in Sacramento, California. In addition, our solid oxide electrolysis unit, that is heading to Idaho National Laboratory, crossed a significant milestone; passing the INL's acceptance test, that unit is being prepared for shipment as we speak. In addition to delivering for our current customers, we are focused on winning new opportunities and our third theme underscores that there is plenty of opportunity with the global power demand remaining robust across utilities, commercial and industrial sectors. From mega trends like the growth of data centers driven by AI, blockchain and cryptocurrency, to the ongoing global drive to create a more reliable and resilient grid and the need to reduce dependency on permitting and building high-voltage transmissions across local landscapes, the world needs more clean baseload power and we believe we have the solutions. This leads into the fourth theme, which is the growing global adoption of fuel cell technology. Countries like South Korea are leading the way in adding clean fuel cell energy into their power mix and we expect others to follow their example. The large-scale utility and commercial deployments we have implemented globally allow us to demonstrate the reliability and functionality of our long running platforms, representing positive case studies as we work to win future orders. And finally, as we develop these energy solutions, we will continue our disciplined approach to capital allocation and cost control in order to maintain a strong balance sheet. We ended the fourth quarter with $318 million of cash, cash equivalents and short-term investments, putting us in a position to invest in growth platform development even as we bring added focus and reduce expenses as we execute our strategy. Now, looking more closely at our global restructuring plan, I want to underscore that we executed this plan in a way that is intended to put us in the best position possible to capitalize on the growth themes I just outlined. We are prioritizing our technologies that are proven, commercially available and operating since 2003, centered on our carbonate fuel cell technology, which has been the long-time backbone of our platform and is core to what we believe are significant growth opportunities for carbon recovery and carbon capture. We are expanding our manufacturing capabilities for our molten carbonate technology in an effort to capture the increasing opportunity in distributed power solutions and we aim to increase our fiscal year 2025 annualized production rate at our Torrington manufacturing facility relative to fiscal year 2024. Alongside our molten carbonate platform, we will continue to invest in the continued development and commercialization of our solid oxide platform. However, our strategy will focus on developing strategic partnerships and opportunities that would enable us to deploy this technology as part of a large-scale energy, emissions reduction and hydrogen generation projects. We believe that the upcoming demonstration of our solid oxide electrolyzer at the Idaho National Laboratory in 2025 will be demonstrative of our technology and ability to execute that strategy. We are actively seeking strategic options to develop and work with partners for our solid oxide technology large-scale enablement and we'll continue to do so in fiscal year 2025. The path to growth is not always direct or linear. We are proactively taking action to respond to what has been a challenging environment for our industry. We are reducing spending, hyper-focusing on tangible commercial opportunities and progressing toward profitability. While the restructuring was a difficult decision, we believe it is the right decision to protect our competitive position and put us in the best position to close market opportunities. Every decision we make feeds into our purpose, and we carry out this purpose through our Powerhouse business strategy, which we instituted in 2019. Those of you who know us well are familiar with our strategy, and we continue to believe in the Powerhouse framework. I would call your attention to an update we have made to the first pillar of our strategy, which we now call 'focus'. To grow in the current market environment, we narrowed our focus. We focused on streamlining our business operations, running our company as efficiently as possible, optimizing our platform and maintaining commercial excellence. This will enable us to uphold the second and third pillars of our strategy, 'scaling our platform' and 'innovating for the future'. I would now like to turn to the next section of our presentation to discuss all the ways we are working to improve our operations at FuelCell Energy and continuing to execute on our current slate of opportunities. On Page 8, we illuminate the solution applications, where and how we excel at building and operating large-scale distributed clean energy platforms and why our demonstrated path positions us well as a proven solution in meeting the time to power applications opportunity or, from a customer's perspective, shortening their time to revenue. We have a history of delivering distributed power solutions at scale with eight sites generating 10 megawatts or more for an aggregate nameplate capacity of approximately 180 megawatts. We are the only fuel cell manufacturer with demonstrated platforms of 10 megawatts, 20 megawatts and even almost 60 megawatts with seven or more years of operating time delivering reliable and efficient energy services. This strong historic performance, I believe, positions us well to take advantage of what we view as one of the biggest market opportunities for our company, microgrids in support of data center growth. Microgrids enable many of the world's fastest-growing power consumers, such as data centers, run more efficiently with higher availability, lower emissions compared to grid power, reduced customer dependency on utilities and accelerate their time to revenue by leveraging on-site generation as prime power. FuelCell Energy's technology can meet these customers' microgrid needs. We currently maintain five operating microgrids, which provide reliable baseload power that is critical in the event of utility outages. We do this against a range of applications from manufacturings, schools, communities and mission-critical nuclear submarine base. We've also exhibited our ability to integrate with other generation sources, including a ranking cycle asset at our Bridgeport Fuel Cell Park, and we can integrate seamlessly with other microgrid assets including battery, gas turbines, diesel generators and solar and wind power sources. To give you a sense of the scale of this market opportunity, I'd invite you to take a look at the data visualization on Slide 9, showing the sharp growth in interconnection queues generated by the massive strains on our current U.S. grid. Many of these areas are corridors where data center growth has been the highest, including the Mid-Atlantic region, the Great Lakes region, Texas, the Southwest and the Pacific Northwest. There is a clear need for distributed power solutions to help relieve these strains, the kind of solutions provided by FuelCell Energy. The same story is playing out worldwide across grids. Moving to Slide 10, as I mentioned earlier, our work to deliver and install modules for GGE continues apace. We have installed the first six modules and the remaining 36 modules will be manufactured and delivered over the next two years, paced by an intentional repowering schedule. We are pleased to have secured financing from the Export-Import Bank of the United States, which provided working capital funding for the initial module deliveries. We look forward to continuing our relationship with EXIM. Our generation operating portfolio remains strong and gives us line of sight into our potential revenue for the next fiscal year, which we expect to be significantly higher than our revenue for fiscal year 2024. The size of our portfolio has grown significantly in the past two years, totaling 62.8 megawatts at the end of Q4 compared with 36.3 megawatts at the same time in fiscal year 2022. We have added our service contract with GGE to our backlog, representing over $34 million in revenue over the term of the agreement with GGE. In other operational news, our Sacramento Sewer project with Ameresco is nearing completion. Additionally, module production for the carbon capture project at the Port of Rotterdam is ahead of schedule, with modules expected to ship in mid-calendar year 2025. These are positive building blocks as we begin fiscal year 2025. I'd like to conclude my portion of the call by reflecting on the 2024 U.S. election results and how they affect us as a company and as an industry. The conventional wisdom may say that one political party favors the fuel cell industry versus the other, but I'm here to tell you that we firmly believe that our solutions are bipartisan and deliver value to our customers no matter which party is in power. Support for our industry has historically been bipartisan and legislators of all affiliations are focused on developing a resilient and reliable U.S. power grid, which our industry helps provide. Our molten carbonate platform is able to utilize a number of fuels as feedstock, including natural gas, which we believe benefits from energy policies that promote this clean, domestically plentiful transition fuel. Above all, we're a global company and the global energy transition continues no matter what happens in domestic politics. Our platform is commercially proven and doesn't depend on one party or another to be economically viable. In short, regardless of the direction political winds are blowing, FuelCell Energy will be positioned to provide clean and reliable energy to the world. We wish the incoming administration success just as we did for the current administration. With that, I'd like to turn the call over to our CFO, Mike Bishop.
Mike Bishop: Thank you, Jason, and good morning to everyone on the call today. Let's begin by reviewing the financial highlights for the quarter shown on Slide 12. For the fourth quarter of fiscal year 2024, we reported total revenues of $49.3 million compared to $22.5 million in the fourth quarter of fiscal year 2023, an increase of 120%. Net loss was $39.6 million in the fourth quarter of fiscal year 2024 compared to a net loss of $29.5 million in the fourth quarter of fiscal year 2023. The resulting net loss per share attributable to common stockholders in the fourth quarter of fiscal year 2024 was negative $2.21 compared to negative $2.07 in the fourth quarter of fiscal year 2023. Adjusted EBITDA totaled negative $25.3 million in the fourth quarter of fiscal year 2024 compared to adjusted EBITDA of negative $30.8 million in the fourth quarter of fiscal year 2023. Please see the discussion of non-GAAP financial measures, including adjusted EBITDA, in the appendix at the end of our earnings release. Finally, the company held total unrestricted cash, restricted cash, cash equivalents and short-term investments of $318 million as of October 31, 2024. Next, please turn to Slide 13 for additional details on our financial performance and backlog. The chart on the left-hand side graphically shows our fourth quarter revenue composition by line item. Product revenues for the fourth quarter increased to $25.4 million compared to $10.5 million in the prior-year quarter. This increase was primarily driven by $18 million of revenue recognized under the long-term service agreement with GGE for the replacement of six fuel cell modules. Additionally, we recognized $7.7 million of revenue under the company's sales contract with Ameresco, under which the company is to provide a 2.8-megawatt platform to the Sacramento Sewer District. Note that product revenues for the prior-year quarter reflect recognition of revenue related to a performance guarantee which was part of the settlement agreement with POSCO Energy and its subsidiary Korea Fuel Cell, or KFC. Service agreement revenues in the fourth quarter increased to $5.6 million from a loss of $0.8 million in the prior-year quarter, with the increase primarily driven by two module exchanges during the fourth quarter of fiscal year 2024. There were no module exchanges in the fourth quarter of fiscal year 2023. Revenue for the prior-year quarter was impacted by accruals due to higher cost estimates related to future module exchanges compared to the company's prior estimates, which more than offset revenue recognized for the prior-year quarter. Service agreements revenue can be variable from period to period depending on the number of module exchanges during the period and changes to future cost estimates used to recognize revenue in the period. Generation revenues increased by 40.3% to $12 million from $8.5 million, reflecting revenue from the Toyota and Derby projects, which began operations in the first quarter of fiscal year 2024. Advanced Technologies contract revenues increased to $6.4 million from $4.3 million, benefiting from revenues recognized under the purchase order received from Esso Nederland B.V., or Esso, an affiliate of ExxonMobil Corporation, related to the Rotterdam project. Looking at the top right-hand side of the slide, I will walk through the changes in gross loss and operating expenses during the fourth quarter of fiscal year 2024. Gross loss for the fourth quarter of fiscal year 2024 totaled negative $10.9 million compared to a gross loss of negative $1.5 million in the comparable prior-year quarter. The increase in gross loss for the fourth quarter of fiscal year 2024 reflects the costs associated with the increased product revenues whereas there were no costs associated with the product revenues of $10.5 million recognized in the fourth quarter of fiscal year 2023 related to a performance guarantee that was part of the settlement agreement with POSCO Energy and its subsidiary KFC. Additionally, the company had higher generation cost of sales during the fourth quarter of fiscal year 2024 as it recorded a derivative loss of $1.8 million compared to a derivative gain of $4.1 million in the prior-year quarter as a result of net settling certain natural gas purchases. These items were partially offset by benefits from improved service profitability as a result of a module exchange in the fourth quarter of fiscal year 2024 while there were no module exchanges during the comparable prior-year quarter. Operating expenses for the fourth quarter of fiscal year 2024 decreased to $30.1 million from $34.9 million in the fourth quarter of fiscal year 2023. Administrative and selling expenses decreased to $15.9 million during the fourth quarter of fiscal year 2024 from $16.9 million during the fourth quarter of fiscal year 2023. The decrease in administrative and selling expenses is primarily a result of the fact that the comparable prior-year quarter included closing costs related to a tax equity financing, which was partially offset by higher compensation expense in the fourth quarter of fiscal year 2024. Research and development expenses decreased to $11.6 million during the fourth quarter compared to $18 million during the fourth quarter of fiscal year 2023. This decrease reflects the previously announced decrease in spending on the company's ongoing commercial development efforts related to our solid oxide platforms and carbon separation and carbon recovery solutions compared to the prior-year period, as well as the allocation of resources to funded advanced technology projects. On the bottom right of the slide, you will see that we finished the fiscal year with backlog of approximately $1.16 billion, an increase of approximately 13.1% compared to backlog as of October 31, 2023. The increase in backlog is primarily a result of the long-term service agreement with GGE, which was allocated between product and service backlog. Product backlog will be recognized as revenue as the company completes commissioning of its replacement modules. Commissioning of the first six 1.4 megawatt replacement modules was completed in the fourth quarter of fiscal year 2024. An additional 31.4 megawatt replacement modules are expected to be commissioned throughout the course of calendar year 2025 and the remaining six 1.4 megawatt replacement modules are expected to be commissioned in the first half of calendar year 2026. Service backlog will be recognized as the company performs service at the GGE site over the term of the agreement. On Slide 14 is an update of our liquidity position. As of October 31, 2024, we had total cash, cash equivalents and short-term investments of $318 million This includes $148 million of unrestricted cash and cash equivalents, $109.1 million of short-term investments and $60.8 million of restricted cash and cash equivalents. The short-term investments represent the amortized cost of U.S. Treasury Securities outstanding as of October 31, 2024. We were pleased to close on a financing transaction in the fourth quarter with the Export-Import Bank of the United States, in which we received approximately $9.2 million of net proceeds. In addition, we raised approximately $20 million through sales of common stock during the fourth quarter of fiscal year 2024. In the fourth quarter, we announced a global restructuring plan, which we expect will reduce operating costs by approximately 15% in fiscal year 2025 compared with fiscal year 2024. The restructuring plan included a reduction of workforce of approximately 13% or 75 employees in November 2024 and includes reduced spending for product development, overhead and other costs. This followed a 4% or 17 employee reduction in September 2024. In addition to reducing costs in fiscal year 2025, we believe we have good visibility into contracted revenue drivers for fiscal year 2025, including with respect to revenues expected to be recognized upon delivery of replacement modules to GGE. As a result, we expect to see a material improvement to company's revenues for fiscal year 2025 compared to fiscal year 2024. Next, please turn to Slide 15, where we are providing greater detail on investments we plan to make during fiscal year 2025, which are intended to support our growth plans over the medium and longer term. Capital expenditures are expected to be $20 million to $25 million, which includes the continuation of solid oxide capacity expansion work in our Calgary, Canada facility. We are also increasing the carbonate capabilities in our Torrington facility, including expected completion of the carbon recovery demonstration plant. Internally-funded research and development expense for fiscal year 2025 are projected to range from $40 million to $45 million, which is lower than our R&D expenditures of $55.4 million in fiscal year 2024. Priorities for R&D are to improve fuel cell stack design and life, enhance our solid oxide module design and advance commercial demonstrations of carbon capture and carbon recovery platforms. In closing, I am pleased with the steps that we have taken to prioritize our commercially available technologies to reflect the changing market opportunities with an updated strategic plan. We believe these steps will help to ensure that we have the balance sheet strength required to support our growth objectives and we will continue to take a highly disciplined approach to managing cash and allocating capital. From a financial perspective, we believe we remain well positioned to execute on our near-, medium- and long-term Powerhouse business strategy. With that, I'd like to turn it back to the operator to begin our question-and-answer session. Operator?
Operator: Thank you. And we will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of George Gianarikas with Canaccord Genuity. Your line is open.
George Gianarikas: Hi, good morning, everyone. Thanks for taking my questions.
Jason Few: George, how are you? Good morning.
George Gianarikas: Doing great. How are you?
Jason Few: Doing great. Thank you.
George Gianarikas: I'd like to ask about the recent restructuring and the growth expected in fiscal '25. Can you just sort of talk about what the new operating model of the firm is, your breakeven levels, growth profiles, et cetera? I know that the '25 growth is being impacted by some module shipments, but just generally, how -- what you think about the growth trajectory of the firm and what the restructuring does for your profitability profile? Thank you.
Jason Few: George, thank you for the question. So, as we move forward on the restructuring, part of that was focused on shortening the horizon to us getting to profitability. Secondly, it's an acknowledgment of narrowing our focus from a product standpoint and where we see the marketplace going in terms of adoption of clean energy technologies. And so, by going through the restructuring, we've been able to, one, reduce our cost to about 15% is what we expect for 2025. We've also realigned resources against the opportunities that we see as short- and medium-term opportunities given the current market dynamics. And we think that that's going to help us create stronger growth. As we've talked about, we expect to see growth in 2025. In addition to that, we think that's going to allow us to better position and leverage our sales pipeline to turn those -- that pipeline into closed transactions, and that's going to help us get to a positive EBITDA sooner than what we had originally thought we would do given the investments we were making to really take advantage of the clean energy transition that we had originally seen or I think even the market had seen that we now know is going to move at a different pace.
George Gianarikas: Can you help us quantify those levels just in terms of what the revenue profile look, I think, to get to EBITDA and maybe even free cash flow breakeven? Thank you.
Mike Bishop: So, good morning, George. This is Mike. Just to add on to what Jason said, beyond what we're doing on the operating cost side and he mentioned reducing operating cost by 15%, also looking across the business, we have targets in our material for CapEx spending, that's going to be in the $20 million to $25 million range, down from last year. So, looking to take costs out of the business. Specific to your question around revenue, we do have good visibility to revenue going into 2025. We've said we expect a material increase in revenue really being driven by the GGE module deliveries. You've seen that come through in our fourth fiscal quarter, and you'll certainly see that come through next year. So, all of those things together help us bring down our EBITDA use. We saw a good step forward this quarter compared to last year, about $5 million reduction in EBITDA use. As far as when we'll get there from a breakeven perspective, we have not put out an exact date yet, but the goal of the company is to continue to drive cost reduction across the business, whether that be product costs, operating costs or managing our CapEx spending very tightly.
George Gianarikas: Thank you.
Mike Bishop: Thank you.
Operator: And your next question comes from the line of Saumya Jain with UBS. Your line is open.
Saumya Jain: Hey, good morning, guys. Could you provide more detail on the opportunities for tri-gen? I guess, how you guys are seeing 45V play out?
Jason Few: Good morning, and thank you for the question. We -- maybe I'll start with 45V first. We are hearing rumblings that 45V that there'll be something that comes out before Christmas, but we certainly don't know that for sure. That's kind of the word on the street, if you will. And we anticipate that there'll be some modifications to the original release by the Treasury that had this notion of a three-pillar strategy. We think that, that will probably change. With respect to tri-gen and specifically in hydrogen, there's certainly been a move to the right, we think, in terms of adoption of clean or zero-carbon hydrogen as part of this uncertainty around things like 45V. So, we anticipate as the rules get clear, that will see open the door for opportunities around platforms like our tri-gen platform to -- which has the ability to produce low to zero carbon or carbon-neutral hydrogen still by utilization of fuels. And we continue to see strong commitment on the transportation side, both from heavy duty Class 8 vehicles as well as firm commitments from major automobile manufacturers like Toyota and Honda that are committed to hydrogen-based transportation, and we think those things will continue to create opportunities for that platform in addition to platforms that generate hydrogen leveraging electrolysis.
Saumya Jain: Got it. Thank you.
Operator: And your next question comes from the line of Noel Parks with Tuohy Brothers. Your line is open.
Noel Parks: Hi, good morning. I just had a couple. I wanted to pick up on manufacturing capacity and your plans there. And I wonder from a timing standpoint, as you have discussions around power generation, data center demand and so forth, is there an inflection point you see maybe that you're particularly trying to guide the [production] (ph) capacity growth toward? I was wondering if there is a bulge ahead -- sort of a bulge year ahead in terms of contracts, deployment timeframes. So, any thoughts there would be great.
Mike Bishop: Sure. Noel, good morning. This is Mike, and thanks for the question. So -- and really good question and a really good opportunity for the company. As we sit here today from a production capacity perspective, we talked about last year reducing the production volumes that we had in our factory given the timing of certain orders and now that we have the GGE order in backlog, we're able to increase our production rate from where we were at the end of 2024, as we go into 2025 to fulfill that order and potentially other orders down the road that you alluded to. So, from -- and obviously increasing the production rate lowers cost, gives us more ability not only to lower cost in the factory, but across the supply chain. From an overall -- so that's kind of setting the stage. We're operating -- we were operating at 25 megawatt, looking to increase a bit from there. When you look at capacity of our factory in Torrington, today, we have machinery that can do 100 megawatts. We have a footprint and we have certain processes in Torrington that can do up to 200 megawatts. So, that's an opportunity for the company as these potential orders get larger and, of course, we're fulfilling the GGE project right now, which is a 60 megawatt project. We look at the data center opportunity that you alluded to as 20 megawatt and up bite sizes that we can be -- that we can deploy assets into. So, our factory is here, it's ready. And as those opportunities become backlog, we will be able to deliver quickly on those, and again, be able to bring down costs as we're doing that and be competitive with our offerings.
Noel Parks: Great. And just you mentioned being able to deploy sort of in a bite-sized manner. Do you, just in general terms, sort of see that as a set of customers or a steady set of customers that are looking to build out in that manner? Or -- I'm thinking as opposed to hyperscaler looking for a large project that they're going to maybe do [indiscernible] all at once. So, just curious as to what you think the deployment pace might look like.
Jason Few: Yeah, no. This is Jason. Thanks for that question. We see it as an opportunity across both segments, as you described it. I mean, we certainly see in the conversations that we're having, if you take hyperscalers as an example, the way in which they build out those data centers, what we're seeing is block sizes in anywhere between 16-megawatt to 30-megawatt block sizes to even though a particular data center may be planning to get to over 1 gigawatt in size, they're not starting there. But what you need to be able to do is, demonstrate your ability to be able to scale on the same delivery timeline that, that data center provider has. And we feel very comfortable in our ability to do that. If you refer back to the slide -- the page in our deck, which is Slide 9, I think we demonstrate where we've got large platforms deployed today in the 20-megawatt block size and larger. We've got those today deployed in configurations that are commensurate with what you're seeing data center customers ask for, including microgrid configurations in order to deliver the level of reliability and resiliency that you need in a data center operation. So, whether those orders come with a single customer in a block size or in multiple customers in those block sizes, we feel very confident in our ability to deliver. And we feel even more confident in the fact that we can show customers demonstrated examples of us doing exactly what they're asking for in these data center applications and we've been doing it for a number of years. So, we feel really strong and good about our use cases that we can show customers.
Noel Parks: Great. Thanks a lot.
Jason Few: Thank you.
Operator: [Operator Instructions] And your next question comes from the line of Dushyant Ailani with Jefferies. Your line is open.
Dushyant Ailani: Hey, guys. Thanks for taking my question. The first one, just wanted to talk a little bit about the gross margin profile. I know you touched on margins a little bit for an earlier question, but how do we -- going into 2025, how do we think about margins for product and the other segments?
Mike Bishop: Sure. Dushyant, this is Mike, and I'll take that one. So, when you look at our product margin for this quarter, negative product margin. I'd say that the GGE deliveries are profitable, but -- and given some of the comments I made earlier, given the current production volume of the factory, we're still dealing with overcapacity costs, manufacturing variances. So, that's what's driving the overall corporate product margin negative. Given our restructuring and increasing volumes, we expect that to improve over time. And as far as generation margins, when you look at the comparison there, a couple of things. One, we had a derivative gain coming through last year. This year, there's a derivative loss. When we look at generation, we really look at it on an EBITDA basis. So, essentially this quarter, when you peel out depreciation, when you peel out the derivative impact, the EBITDA margin is around 22% range. And obviously, we will be looking to drive that higher as we continue to optimize our fleet and work to take costs out of the business.
Dushyant Ailani: That's helpful. And then, my second question was just on the capital raise, the $21 million. What's the rationale behind that? And then, how do you think about -- into 2025, do you think that's something you'll tap into more or do you feel comfortable with the liquidity?
Mike Bishop: So, good question. The company feels comfortable with our liquidity as we sit here today. We've really had a several-pronged approach in raising capital. One is to really make sure that we're smart about monetizing the assets that we have on balance sheet. As we announced at the end of the fiscal year, we closed a financing with the U.S. Export-Import Bank around GGE. So that's providing us working capital financing for that project. That's at a fixed interest rate of about 5.8%. And we've also -- as you've seen on our balance sheet, also done project financings around operating assets that the company owns, whether it be tax equity and monetizing the tax benefits or back-leverage debt at a fixed interest rate. In addition to that, the company has raised capital in the public markets through an at-the-market sales program, that has been to augment the balance sheet and keep us in a strong cash position. And I'd say, we continue to monitor our liquidity on a quarter-by-quarter basis and we'll do prudent financing when it makes sense for the company.
Dushyant Ailani: Got it. Thank you.
Jason Few: Thank you.
Mike Bishop: Thank you.
Operator: And ladies and gentlemen, that concludes your question-and-answer session. I will now turn the conference back over to Mr. Jason Few for closing remarks.
Jason Few: Thank you, Abby. Thank you all for listening in today. I hope you come away from this call understanding the important steps we have taken as a company to position ourselves for the future, all while remaining optimistic about the opportunities in front of us. I wish everyone a wonderful holiday season and a prosperous New Year. Thank you again for joining.
Operator: And ladies and gentlemen, this concludes today's conference call, and we thank you for your participation. You may now disconnect.